Operator: Good day, ladies and gentlemen, and welcome to the Molson Coors Brewing Company 2010 Fourth Quarter and Year End Earnings Investor Relations Follow-up Conference Call. [Operator Instructions] Before we get started, I want to paraphrase the company's Safe Harbor language. Some of the discussion today may include forward-looking statements. Actual results could differ materially from what the company projects today, so please refer to its most recent 10-K and 10-Q filings for a more complete description of factors that could affect these projections. The company does not undertake to publicly update forward-looking statements, whether as a result of new information, future events or otherwise. You should not place undue reliance on forward-looking statements, which speak only as of the date they are made. Regarding any non-U.S. GAAP measures that may be discussed during the call and from time to time by the company's executives in discussing the company's performance, please visit the company's website, www.molsoncoors.com, and click on the Financial Reporting tab of the Investor Relations page for a reconciliation of these measures to the nearest U.S. GAAP results. Also, unless otherwise indicated, all financial results the company discusses are versus the comparable prior-year period and in U.S. dollars. Now I'd like to turn the call over to David Dunnewald, VP of Investor Relations, Molson Coors.
David Dunnewald: Thanks, Devon. Hello, and welcome, everybody. On behalf of Molson Coors Brewing Company, thank you for joining us today for our Fourth Quarter 2010 Follow-up Earnings Conference Call. Our goal on this call is to address as many additional earnings-related questions as possible, following our regular earnings conference call with Peter Swinburn, Stewart Glendinning and our business unit CEOs earlier today. We will use a standard question-and-answer format, and we anticipate that the call will last less than an hour. So let's get started. With me on the call are Leah Ramsey, Investor Relations Manager; Greg Snyder, Group Manager of Global Forecasting and Analysis; Spencer Shearer [ph], Finance Forecasting Manager; Steve Hills, Financial Reporting Manager; Mark Sacks [ph], Senior Director of Tax; and Bill Waters, Vice President and Global Controller. As Peter Swinburn mentioned on our earlier regular earnings call earlier today, 2010 was a year of good progress for Molson Coors in building exceptional brand, driving value-enhancing innovation, reducing costs, strengthening our balance sheet and generating cash. As a result, we increased gross margins, operating income, pretax income and free cash flow despite continued input cost inflation and weak industry volume. In 2011, we will be more focused than ever on driving momentum on the top line and bottom line and growing substantial value for our shareholders. Now before we get to the Q&A, I wanted to follow up on one question we had earlier this morning on the regular earnings call, and that was relating specifically to Corporate and International markets' MG&A. In our call this morning, we provided guidance that we anticipate that MG&A expense for the Corporate and International segment will be approximately $200 million plus or minus 5%. That represents approximately a $28 million increase from 2010. And we said it was driven by higher brand investments in our International business and the addition of 100% of our China joint venture expenses. You remember, we closed the Si'hai Brewing joint venture in the fall. And then the minority owner share of those increased expenses from the China joint venture, we're just layering them in, actually, will be subtracted from our consolidated results in the line, Noncontrolling Interests. What I wanted to emphasize is that this guidance is only for that segment. It is not total company, Molson Coors' MG&A. So it's just for that one segment, first of all. And then second of all, it's not earnings guidance, because it does include operating businesses in places like China, Japan, Vietnam and Spain and so on. The operating performance of that segment will also be driven not only by MG&A expense but also by international market sales and cost of goods. So I just wanted to emphasize that point. And with that, I'd like to open it up for your questions. Devon?
Operator: [Operator Instructions] Our first question comes from Mark Swartzberg of Stifel, Nicolaus.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: So I guess, two things here, but maybe as a follow-up to the conversation in the morning call, can you kind of update all of us on your COGS mix by region? And any color you can give us on how and to what extent contracts and market-based hedges are benefiting your COGS expectations for '11?
David Dunnewald: We did definitely want to follow up on that. I guess, I'd start with -- give you three pieces of information. One, the amount of information we give on hedges is somewhat limited, as it is from our competitors just for, call it, competitive reasons. But we do provide some general guidance around what our COGS -- the makeup of our cost of goods by business unit and then a little bit of perspective on our hedging. The route to market and the package mix drive substantial differences in our cost of goods base in each of the three major businesses that we have. For example, the U.S. market, U.S. business, about 40% of the cost of goods line there is packaging materials, because we have a lot of nonreturnable packaging and not very much draft as well, which I guess, that's a subset of the first point. In Canada, on the other hand, there's a lot more in the area of distribution. We have returnable bottles, there's over half the package mix in Canada, which reduces the packaging materials component, but a lot of distribution. And then in the U.K., you have a high component of draft beer, which reduces packaging materials even more. But you also, on the flip side, you have what we call factored brands, which are beverage brands that are owned by other companies that we take possession of and therefore, have to consolidate in our U.K. business, and we deliver those to pubs all over the U.K. So that's basically why you have differences between the business units. And I can go into whatever detail you need as far as the breakout of packaging materials versus brewing materials, but if we don't need that, I'm just going to give you the headline that, when it comes to hedging strategy, we believe in limiting volatility of those inputs where we have the opportunity to reduce risk and volatility. And the mix, call it as a percent of cost of goods of hedgeable commodities, really does vary quite a bit by geography. For example, in the U.S., if you distill it down, essentially about 1/5 of the cost of goods line is hedgeable commodities. So the other 4/5 are things like conversion costs and labor costs, depreciation, things like that, that are not hedgeable. And then if we move to Canada and the U.K., roughly 1/10 of the cost of goods lines there are hedgeable. Now this doesn't tell you that every year, we will hedge exactly 1/10 or exactly 1/5, depending on the geography, but it does tell you what the potential is by market. Beyond that, I would tell you that our strategy, because we do believe in volatility mitigation, we tend to hedge out a ways. Generally, it's rolling hedging over two to three years, where that's available. It's not available in all places, but as you can tell by the numbers in the U.S., more commodities are hedgeable than in some of the other markets, plus the fractions I gave you indicate the different makeup of the cost of goods line in those geographies.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: When you use the term hedgeable, would you consider a long-term contract a source of hedge, or something that in that portion that is not hedgeable?
David Dunnewald: I would say a long-term contract if it, how do you say, eliminates rate movement, then yes, I would throw that in the hedgeable bucket. We hedge through a variety of instruments, financial, contract, just storage, for example, when it comes to malt, things like that. So I guess, the answer is yes.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: And then back on that first part of your response there, when you said packaging, 40% in the U.S., lower in Canada, lower in the U.K., can you put a number on what those numbers are for Canada and the U.K., what packaging is? And then I guess, part of distribution's going to show up below the gross profit line, but can you talk too about distribution more specifically, put some numbers around distribution?
David Dunnewald: Yes, I can give you broad guidelines. The packaging materials, I already mentioned the U.S. about 40%. In Canada, it's about a half of that or roughly 1/5 of the cost of goods line. And then in the U.K., mid-teens percent of cost of goods is related to packaging material. The cost of kegs, because they're so reusable for generally 10 to 20 years tends to be very low cost for our business in the U.K. As far as distribution goes, I guess I'd clarify that a little bit. Distribution costs in the U.S., we would -- simply the cost of our -- the independent distributors we have, that's borne by them, not by us, with the exception of the one distributor we own in Denver, and that distributorship is fully consolidated. So you have a whole range of costs throughout the P&L for Miller Coors associated with Coors Distributing Company in Denver. So if we set that aside, essentially, in the U.S. business, MillerCoors, you have freight charges, shipping primarily finished goods freight from our packaging facilities to our distributors, the 700 or so distributors around the country. And so there's a high fuel component of that, and it's about 1/5 of the U.S. cost of goods line. Then if you move to Canada, a combination of -- that system has a lot more warehousing, a lot more distribution costs, frankly, in it, and that's just the makeup of the market. So about a third of the Canadian market is a combination of distribution, freight, logistics, that sort of thing. And then, if you move to the U.K. business, you'd come in around mid-teens on distribution and freight costs.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: And then finally, on that topic, brewing materials, what kind of numbers are we talking about?
David Dunnewald: Brewing materials, because there's more consistency across geographies, they don't vary quite as much. The U.S. market, you'd be around 1/10 for brewing materials and related utilities. In other words, we buy the barley, and then we use some utilities to convert it into malt. You'd see the same sort of number in Canada, around 1/10, and then the U.K., same thing, broadly speaking, 10% or a little bit lower.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: And if we tally up the numbers you just gave for each region, obviously, it doesn't get to 100%. Most of the difference, labor and manufacturing overhead, that kind of stuff?
David Dunnewald: Yes. Essentially, then to fill out the picture, in the U.S., you have about 1/5 of the cost of goods line would be plant manufacturing, that's labor, some related utilities. You'd put depreciation, property tax, those types of things into that bucket. So about 1/5 there, same thing in Canada, about 1/5 of the cost of goods line. And then in the U.K., it would be a little bit lower, more of a mid-teens number, and that's because the cost of goods line is, call it, enlarged by the factored brands that I mentioned earlier.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: It’s kind of an old topic that seems to be more pressing today, anything new you can tell us beyond what Stewart said and Peter said on the call about deployment of cash flow? Because Stewart talks -- he was pretty -- I don't know, you can over-interpret these things, but statement of fact, Foster's isn’t a claim on cash flow anymore. Statement of fact, the pension situation is better than it was six months ago. Statement of fact, you just completed a very cash-generative year. So it really seems like you're keyed up to do -- and statement of fact, you don't have much in the way of absolute borrowing. So people are left thinking you're going to go do something big acquisition-wise, or that the odds are going up that you actually return more cash to shareholders than you have in the past, and yet, of course, people have been disappointed there over the years. So what besides what we heard this morning, if anything, can you tell us given the picture that we're all looking at?
David Dunnewald: That's a good question. I'm sure it's on the minds of a lot of investors. We do have -- we did achieve some very positive cash generation last year. We do have, call it, a solid cash balance at the end of the year on our balance sheet. And, I guess, all I would do is reiterate what we’ve said in the past, and that is we're going to look at potential cash uses in three main buckets. First one is growth opportunities. We've done a number of relatively modest-sized growth opportunities, things such as China and the most recent brand acquisition in the U.K., Granville Island, those types of things, Cobra in the U.K. as well. So those are relatively small bolt-on acquisitions. We've done MillerCoors, which was relatively large. And so as we've said in the past, we'll look at a variety of growth opportunities, and we will run them through a disciplined process, where the two main criteria are: We need to see short-term earnings accretion; and also, a clear view to growing long-term shareholder value, which is kind of a verbal way of saying ROIC needs to be growing in excess of our weighted average cost of capital. In that same disciplined process -- or we will apply that same disciplined process to balance sheet improvements. And to your point, Mark, we have made some significant improvements in the last year in that area, around pensions and Brazil indemnities, and those types of things. So we'll continue to see whether or not there are opportunities there, but as you suggest, we have taken some of those at least in the near term, off the table. It doesn't tell you what we'll do down the road, but we've certainly made good progress in a couple of key areas.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: And am I right in thinking that with the way your board normally meets and having your Analyst Day on March 2, it's kind of -- it requires a special meeting of your board to give us an update on that on March 2?
David Dunnewald: I always caution people about tagging a specific date on board meetings and that sort of thing, because there's quite a bit of both variability and flexibility when the board does and can meet. So I think looking for those types of signposts, it may not be fruitful. So I'm not sure I'd spend a lot of time on that, but that's your choice. One thing I would do is just mention the last bucket which is, returning cash to shareholders. And as Stewart mentioned, we've increased the dividend three years running, and as part of that dialogue with our board that we have on an ongoing basis, we also talk about things like stock buybacks. And so as Stewart mentioned, that dialogue is ongoing.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: I guess, lastly, I suppose it's kind of a rhetorical question, but the subject of actually having long-term guidance, is it reasonable to think you guys are giving this new consideration, kind of looking at it with a fresh set of eyes? Or is it just kind of on the larger list of things that you think about, but it's not necessarily at the top of the list?
David Dunnewald: Well, there's different ways to look at a list, but as Stewart mentioned, we think about guidance and look at it on a periodic basis, and we look at it not only from an earnings standpoint, but as you know, we provide guidance on cost of goods, and a number of other lines that help build our earnings results. And so we look at the components there too, and just to see whether or not there's some incremental help that we can give people, whether it's earnings or not. So we do consider it periodically.
Operator: [Operator Instructions] Our next question comes from James Watson of HSBC.
James Watson - HSBC Holdings plc: First question was just, you guys had the, I guess, 50-plus percent International volume growth, but I guess a lot of that was Si’hai. I'm wondering if you could break out what the sort of more organic growth rate was across the broad International segment, and just if there were any specific other countries with significant growth you could point out.
David Dunnewald: I'd say it's broadly half, layering in the Si'hai brands volume, and then the other half would be what you call, organic growth.
James Watson - HSBC Holdings plc: And were there any other countries where it was notable growth?
David Dunnewald: Yes. I would highlight, China continues to grow strongly. I would say the introduction of Coors Light in Russia was a relatively small factor in that volume. It's all new volume, but it's very small, so that is not a driver of that number even in the organic piece that we talked about. Mexico has been a nice growth market for us recently as well. I think those are the ones that I'd highlight for you. I'm sorry, Spain. Spain's been a nice growth market for the Carling brand.
James Watson - HSBC Holdings plc: Have you given out what kind of size you have in Spain right now?
David Dunnewald: No. I would say in comparison to our main businesses, it's very small. And even relative to the overall international markets group, it's still relatively small. In other words, it's a lot smaller than China, for example.
James Watson - HSBC Holdings plc: And just switching tacks over to the pension expense, I was just wondering if you could help me figure out what the delta is between the pension expenses as they hit the income statement in 2010 versus what we'd expect to see hitting the income statement in 2011.
David Dunnewald: On the earlier call, we mentioned that 2011 expectation is around $60 million, at least currently. Things can change, but that's our view now, and then that was $17 million lower than 2010, and that includes the 42% of MillerCoors expense.
James Watson - HSBC Holdings plc: Is most of that going to come through the U.K. segment?
David Dunnewald: No. Well, most of the reduction or most of the actual expense?
James Watson - HSBC Holdings plc: Most of the reduction.
David Dunnewald: Yes, you could attribute $25 million of reduction to the U.K., more than all of it. But we have a lot of different plans, so there's a little bit of movement here and there, but basically, it's all the U.K.
Operator: Our next question comes from Walt Coleman [ph] of Decade Capital.
Unidentified Analyst: On all the COGS guidance that was provided, it was a little confusing because of the structural impacts that are going on both in Canada with the contract brewing, and then the U.K. with the Corona, et cetera. So I guess my question was x the structural impact, is there like gross margin pressure from COGS in Canada and the U.K.? I mean, I guess my question is because Canada COGS are flat, excluding the contract brewing, but with the contract brewing coming in at increasing mid-single digits, I mean is there also a revenue for hectoliter increase or the same, or it's just accounting? And then kind of the same question on the U.K. with the Corona stuff.
David Dunnewald: Two ways I'd look at that, I guess. One is on our own brand, and that's essentially taking out the structural piece you were talking about. So if you do that, Canada COGS, largely unchanged we said for 2011 that's per hectoliter. In the U.K., we said increase at a low-double digit rate, and now that's driven largely by -- let's see. Since we've -- layering in the Modelo brands, which increase both net sales and cost of goods. So if you take out the Modelo brand then you'd have a much lower increase in the U.K. from an owned brand standpoint. And then in the U.S. we said up slightly, and that's all in, no structural adjustment so to speak on that one. So that would get you to, call it, a modest increase for all three markets. So that's, I guess, one point of view, just on kind of on our own brand. And then if you layer in those structural pieces, then Canada goes to a mid-single digit rate, the U.K. actually drops to a low-single digit rate, and the U.S. stays where it is. If you net those out, I guess, you still end up somewhere in the low-single digits if you give us 42% of MillerCoors.
Unidentified Analyst: So like on the U.K. though, there isn't associated revenue increase along with the Modelo brand that would offset kind of the COGS increase?
David Dunnewald: Yes, that would be the other part of your question, thank you. Those structural items, those do, in every case I can think of, they actually do drive net sales revenue per hectoliter up as well, not just cost of goods, or in the case of -- let's see, in the case of the U.K., they drive them down, because then you're layering on a component of NSR per factored brand and contract production. So, yes, in all cases that I can think of, they have both NSR and cost of goods impact in the business. And then to figure out whether that results in gross margin enhancement or compression, I'll leave that to you since we don't give earnings guidance. But if you're in the low-single digits, I mean, that's kind of where we ended up on an all-in basis without doing any careful math, compare that to your expectation for pricing. We've had relatively good pricing -- actually, in the fourth quarter, we had good pricing in all three of our major markets.
Operator: We have a follow-up question from Mark Swartzberg of Stifel, Nicolaus.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: I guess I wanted to understand more your comments about global MG&A in 2011. I guess, a, am I comparing numbers right? I'm looking at 2010 at $172 million, and now you're saying as much as $200 million for '11.
David Dunnewald: Yes, does that sound good, Greg?
Greg Snyder: Yes.
David Dunnewald: Yes, 172 up to around 200. And it's just Corporate and International, yes.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: So $28 million for -- I guess, you called out China. It still seems like a pretty big number relative to your presence in China. So I guess, am I right in thinking that's all China? Or is there something else going on there?
David Dunnewald: Yes, there is. These are investments, really, in a number of markets around the globe. So think about the existing Coors Light business in China. We've been ramping up spend behind that brand for some time. And it's getting to be a decent-sized brand in a relatively small slice of a large market, I guess, is the way I’d put it, at the very top end of the market. So, anyway that would be a continuation of that trend. You also have essentially, layering on 100% of the Si'hai Brewing Company, not only marketing, but also overheads. And then, as I say, only half of that actually drops to the bottom line, the other half is taken out under the minority interest line in the consolidated income statement. And then you have other markets like Spain and Vietnam and Mexico and Russia, where we’re spending -- we see very good growth opportunities. And it's important to mention that we'll also have Modelo in Japan, and that brand, which obviously, we want to make the most of that opportunity as well. So I think if you add all that up and I think that the other point that I wanted to make sure I made earlier was that as we make these investments, obviously, the goal is to sell more beer. And if you sell more beer, then you're going to be -- your operating income or loss line will look different from the MG&A line.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: And this might continue on March 2, but it's interesting to see your International strategy from an internal perspective. I guess it's acquisitions, but anyhow, it's interesting to see your International strategy unfold here. Because you're really saying that '11's a big year for you guys internationally in terms of your own aim. So what kind of return do you think about getting on that kind of step up and spend, and what kind of timing are we talking about on that return? And I guess, are we going to get more of a focus on International on March 2?
David Dunnewald: The last question first. Yes, as always, we'll give you more strategic, maybe even tactical information related to the International group on March 2 in New York. As far as how long does it take to return, well, as with all of our investments, we have an expectation that over not too long, we're going to see a nice return from those investments. We expect all of our markets to get to a point of profitability, even the investment markets, over a reasonable time frame. That depends though on the, call it, the long-term potential of the market. And so there really isn't a one-size-fits-all answer to the question of how long are we willing to invest in a market like that before we get to, call it, pretax profit. And the other thing I'd say is, our international strategy really has two major components. One is, just what we talked about, in the International group, where we're investing in markets like China and Spain and Vietnam and Mexico. And at the same time, we look at opportunities to invest incremental cash in growth opportunities aside from the existing businesses, and that includes things like buying an interest in the China brewery and looking at other potential growth opportunities around the globe.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: I'll wrap here, but if on March 2 -- the opportunity's exciting. There's a pretty long history, as you know, of brewers kind of falling pretty hard in some of the investments they've made in some of the markets you've cited, but you have a strong brand with Coors Light, for example. But anything you can do, on the 2nd, to say, our executives have been through some of those flops, our way of analysis is more rigorous in terms of returns, anything you can do to kind of allay concerns that your investors are going to see you spend the money and not get the return, would be great.
David Dunnewald: I not only understand, but appreciate the feedback, Mark.
Operator: [Operator Instructions] I'm showing no further questions at this time, sir.
David Dunnewald: Okay. Great. Well, thank you, all, for joining us. Appreciate your interest in Molson Coors. If you have additional questions that we did not cover during our time this afternoon, please call me on my direct line or Leah Ramsey on her direct line or at the main number here at Molson Coors, which is (303)927-BEER [(303)927-2337]. Also wanted to remind you that we have our upcoming events. The main one is that we have our Annual Investor and Analyst Day in New York on March 2 at the Essex House. So we hope to see many of you there. Thank you, again, and have a great day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may all now disconnect. Thank you, and have a nice day.